Operator: Good morning ladies and gentlemen and welcome to the Chartwell Retirement Residences' Q4 2024 Financial Results Conference Call. I would now like to turn the meeting over to the CEO, Vlad Volodarski.
Vlad Volodarski: Thank you, Alana. Good morning and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations' tab. Joining me are Karen Sullivan, President and Chief Operating Officer; Jeffrey Brown, Chief Financial Officer; and Jonathan Boulakia, Chief Investment Officer and Chief Legal Officer. Before we begin, I direct you to the cautionary statements on Slide 2 because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the assumptions, risks and uncertainties inherent in such forward-looking statements and details of such non-GAAP and other financial measures. More specifically, I direct you to the disclosures in our 2024 MD&A under the heading risks and uncertainties and forward-looking information for a discussion of risks and uncertainties. These documents can be found on our website or on SEDAR+ website. Turning to Slide 3. I am proud of our teams who delivered outstanding results in virtually every area of our business in 2024. From the strong improvements in employee engagement and resident satisfaction, to occupancy and cash flow growth, to the record volumes of acquisition and financing activity, our people made 2024 an exceptional year. We at Chartwell know that our success starts with great service and I'm grateful to our Residences' management teams and frontline employees for their unwavering dedication to those they serve, our residents and their families. I'm grateful to our people for the great progress we collectively made in the transition to a more agile and scalable operating platform. There has been a lot of change in how we operate our business in the last two years. Our people demonstrated a tremendous agility in adjusting and adopting new processes, technologies and even more importantly, the new mindset. We continue working together to further enable our resident's management teams to develop local strategies, make faster decisions, and take bold actions. Our corporate support teams develop and implement tools, including technology solutions, deliver high-quality training and targeted assistance to further enable our residences teams to outperform. The exceptional work of our people and the strong results that we achieved in 2024 give me confidence in our continued successes this year and beyond. Before I will share with you our focus and strategies for 2025. Karen will provide an operating update. Jeff will dive deeper into our Q4 and 2024 year-end results, and Jonathan will update you on our transactional activities. We'll start with Karen. Karen, over to you.
Karen Sullivan: Thanks Vlad. Moving on to Slide 4. Our leasing activity continued to be strong in Q4 with a positive net permanent move-ins, permanent move-out of plus 689 units. Including particularly strong results in December, setting us up well to mitigate the historic winter dip in occupancy. We held our first open house event in January, increasing the number of high-quality initial contacts. And the teams are now in the process of purposeful activities to nurture these prospects by bringing them back for follow-up tours and events at our homes. In Q4, we continued to focus our marketing strategies on quality channels, including Google, Facebook, e-mail, radio, print, and local TV, which resulted in a nearly 10% increase in personalized tours from marketing initiatives in Q4 2024 compared to Q4 2023. In addition, traffic from nonpaid organic sources accounted for 57% of the traffic to our website and conversions that is forms filled out to obtain additional information on living in a Chartwell home, grew 62% from Q4 2023. In 2024, we established national partnerships with several organizations to promote referrals to our residences, including affinity relationships with the Independent Financial Brokers of Canada, Scotia Wealth Management, and MD Financial, as well as the Alberta Retired Teachers' Association. We are continuing with our property-specific pricing strategies to grow market rate in homes with higher occupancy, eliminating recurring discounts for some communities, targeting specific suites for discounts to accelerate lease-up or continuing with broader-based discounts depending on occupancy levels and competitors' rates. Turning to Slide 5. We reduced our staffing agency costs by 60% in 2024 compared to 2023 through focused recruitment and retention activities and continue to be consistently below pre-pandemic levels. We have specific strategies in place for harder-to-fill positions such as RPM as well as for areas of the country where recruitment remains a challenge. We completed operational reorganizations in Ontario and Western Canada to create a more agile and responsive structure to empower and support our general managers and management teams to drive results. A similar reorganization in Quebec is now underway in Q1. We also provided in-person training to our management teams across the country in disciplined specific sessions this past fall, in order to roll out new programs and enhance their knowledge and leadership skills. We also held a very successful leadership conference with all of our general managers from across the country in January to celebrate our 2024 results and set a stage for further success in 2025. The operations team has also been focused on continuing to integrate the properties that we recently purchased in Quebec and BC, including most recently another retirement residence on Vancouver Island and preparing for the upcoming acquisition of a large 660-suite home on the island in Montreal. Finally, I wanted to share another example of our ongoing efforts to develop individual property specific strategies to better meet the needs in our local communities. Chartwell Constantia started 2024 with an occupancy of 67%. This home is located in North York and a predominantly Jewish community by increasing our focus on programming, including authentic high holiday celebrations, menu selections, and community outreach, networking and business development, the team has increased occupancy to 83%, including 12 move-ins in the last three months of 2024. The residence has now been rebranded Chartwell Thorne Hill, and there are several initiatives underway to continue this momentum in occupancy growth. I will now turn it over to Jeff to take you through our financial results.
Jeffrey Brown: Great. Thank you, Karen. As shown on Slide 6, in 2024, net income was $22.4 million compared to net income of $128.3 million in 2023. 2023 included the $178.7 million gain on sale from the completed LTC transactions. Stronger operating results and lower G&A expenses positively contributed to net income and were partially offset by deferred tax expense and higher finance costs. FFO from continuing operations increased 61.7% and total FFO increased 48.3% in 2024 compared to 2023 from strong operating results in our core property portfolio. 2024 FFO growth also benefited from higher adjusted NOI from continuing operations of $76.2 million lower G&A expenses of $11 million, one-time retroactive government funding related to LTC discontinued operations of $1.4 million, higher adjusted interest income of $1.4 million, and lower depreciation of PP&E and amortization of intangible assets used for administrative purposes of $0.4 million, partially offset by higher adjusted finance costs of $14.2 million and lower management fees was $0.9 million. In 2024, our same-property occupancy increased 590 basis points to 88% and our same-property adjusted NOI increased $38.8 million or 18.9%. For Q4 2024, net income was $3.5 million compared to a net loss of $13.2 million in Q4 2023 primarily due to higher resident revenue, lower negative changes in fair value of financial instruments, impairment losses in Q4 2023, higher net income from joint ventures, lower G&A expenses, and higher current income tax benefit, partially offset by higher direct property operating expense, deferred tax expense in Q4 of 2024 as compared to a deferred tax benefit in Q4 2023, higher depreciation of PP&E and higher finance costs. Q4 2024 FFO from continuing operations was up 46.9% and FFO from total operations increased 47.5% compared to Q4 2023 as operating results in our core property portfolio continued to show strong growth. In Q4 2024, our same-property occupancy increased 510 basis points to 90.1% and our same-property adjusted NOI increased $8 million or 14.4%. Slide 7 summarizes our same-property operating results for each platform. All of our platforms posted occupancy gains in Q4 2024 compared to Q4 2023, which positively impacted our results. Our Western Canada platform same-property adjusted NOI increased $1.7 million or 9.3%. Our Ontario platform same-property adjusted NOI increased $4.3 million or 13.7%. And our Quebec platform same-property adjusted NOI increased $2 million or 31.5%. Turning to Slide 8. At February 27th, 2025, liquidity amounted to approximately $283 million, which included $44 million of cash and cash equivalents and $239 million of foreign capacity on our credit facility. In 2025, our debt maturities include $343.8 million of mortgages with a weighted average interest rate of 5.29%, $150 million to 4.211% unsecured debentures, and a $75 million term loan. As of February 27th, 2025, we estimate the 10-year CMHC-insured mortgage rate to be approximately 3.84% and the five-year unsecured debenture rate to be approximately 4.31%. Moving to Slide 9. With the continuing strong prospect traffic and leasing activity, we expect occupancy to continue to grow in 2025. We now forecast to achieve 91.1% same-property occupancy by March of this year. We have been using targeted incentives in certain markets to support this rapid occupancy growth. As more residences achieve higher occupancy rates, we expect to gradually reduce the use of these incentives. We are working hard to maintain the positive occupancy growth momentum striving to reach 95% occupancy in our same-property portfolio by the end of this year. We expect rents and services rates to increase by approximately 4% in 2025 and same-property operating margins to grow to approximately 40%. As a result of various efficiency initiatives, we expect growth in our general and administrative expenses to be below inflation. I will now turn the call to Jonathan to discuss our recent acquisitions and portfolio optimization activities.
Jonathan Boulakia: Thanks Jeff. Turning to Slide 10. In Q4, we completed the acquisition of a 50% ownership interest in a portfolio of five retirement residences in Quebec, four of which are located in Quebec City area and one in Shawinigan, for an aggregate purchase price at our share of $213.5 million. The vendor provided us with a two-year NOI guarantee on two properties with $4.7 million of the purchase price to be held in escrow to support the vendor's obligation. In Q3 2028, subject to a one-year extension at the vendors option, the vendor will have an option to sell and will have an option to purchase the remaining 50% ownership interest in this portfolio at the then fair market value. In January of this year, we acquired an upscale 131-suite ISL retirement residence in Victoria BC for a purchase price of $75 million. This acquisition is our fourth property on Vancouver Island, adding critical mass in the region. Also in January, we entered into a definitive agreement to acquire a 632-suite retirement residence located in Montreal, Quebec for $136 million, which is expected to close shortly. All of these newer, high-quality assets are located in strong markets and in great locations within those markets. We acquired these premium residences at attractive pricing significantly below replacement cost. We expect higher market rate growth out of these assets than our same-store portfolio over the medium term, which will generate strong investment returns. 2024 was a record year of investments for Chartwell. We are seizing opportunities to refresh our portfolio with high-quality assets at attractive pricing in our core markets. Q1 of 2025 has also been busy, and we hope to continue this momentum throughout 2025, with more exciting strategic acquisitions being evaluated and at various stages of negotiation. We also continue the path of portfolio optimization with several residences that we no longer consider core to our portfolio being repositioned, sold or planned for sale. This process will continue throughout 2025 and into 2026. Disposition of non-core properties will lower the average age of our portfolio, position our portfolio more strategically and free up capital to pursue strategic growth opportunities. I'll turn the call back to Vlad to wrap-up.
Vlad Volodarski: Thank you, Jonathan. Moving to Slide 11. Today, maybe more than ever, there is a lot of uncertainty in the world and particularly in our country's relationship with the United States. The threat of trade disputes and their potential to create an economic downturn is real. We cannot reliably assess or predict the potential impact of the situation in our country or on Chartwell at this time. Having said that, our business is predominantly needs-driven and historically has been less susceptible to economic downturns. For example, during the financial crisis of 2008, 2009, our same-property portfolio remained stable in the 90% occupancy range. Whatever the future might bring, we will continue to focus on resident experience striving to deliver exceptional personalized services and quality care and leveraging our strong management platform to efficiently support our residences teams. We believe we are at the front end of what is going to be a multiyear period of growth in retirement living in Canada. Demand for our services should continue to grow for decades driven by the senior population growth and lack of long-term care accommodation. Forecasts show that to maintain supply/demand balance, the sector would need to build 200,000 suites in the next 10 years, which is almost 3 times the number of suites built in the previous 10 years. With the persistently high cost of construction, immune development activity has been slow, which combined with the obsolescence of some of the existing inventory will continue to exacerbate supply shortage. These dynamics will support occupancy growth, higher market rates, and profitability of the existing operators. As one of the largest participants in the senior living sector, Chartwell stands to benefit from them. Turning to Slide 12. To build on our recent successes and reap the benefits of the positive operating environment, we will continue our focus on operational excellence, investing in employee engagement and resident satisfaction strategies and continue our work on building an agile and scalable operating platform to generate operating efficiencies. We believe that the positive operating environment in our sector presents a unique opportunity to future-proof our portfolio, growing it with the newer, more efficient assets in strong markets and realizing better value on dispositions of non-core properties, which generally are smaller, less efficient, and often located in secondary and tertiary markets. We will continue to be prudent in our capital management decisions. We'll strive to diversify our capital sources, including through new joint ventures to support access to growth capital in all phases of economic and real estate cycles. We will maintain a strong liquidity position and conservative debt leverage profile. And over time, we intend to grow distributions to our unitholders on a continued consistent basis. We are optimistic about the future and united in our drives to continue delivering strong results for all of our key stakeholders. I will now close our prepared remarks with a short story from one of our residences as pictured on Slide 13. This is Carmen story from one of our more recently acquired properties, Chartwell Victoria Harbour in Victoria. Carmen moved to Chartwell Victoria Harbour with her husband. Like for many couples, it was a tough decision to leave their long-term home. She was increasingly worried about her stamina and physical strength because a few weeks before moving Carmen suffered a fall, resulting in multiple injuries, including a fractured pelvis. Frustrated by how her posture has declined, now after the fall, she was hunched over with a walker. She had always been an energetic, avid walker, living a full and busy life. Upon arriving to the residence, Carmen was determined to regain her strength. She set a goal with our wellness manager to walk without a walker. Partnered with a specialist to develop a personalized training plan, she started slowly, but stayed committed. Continue to train weekly with both our kinesiologist and personal training, participating in group activities alongside personal training, she surpassed her original goal. Not only she ditched the walker, increased her weight and she set a stretch goal for herself to complete 20 consecutive push-ups, which she has achieved. 88 years of young, proving that the fitness goals can evolve at any age. Carmen is beyond proud of her accomplishments. She is a strong advocate for strength training and functional fitness and true ambassador for the wellness program at the Residence. Thank you for your attention this morning. We would now be pleased to answer your question.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Tom Callaghan with BMO Capital Markets. Please go ahead.
Tom Callaghan: Thanks. Morning guys. Maybe just first one is, just in terms of the prepared remarks there in acquisitions in various stage negotiation, can you just give some color in terms of the types of properties you're looking at today? Or do they skew towards maybe more lease-up or stabilized? And then are there certain markets versus others that are of interest today?
Jonathan Boulakia: Sure. Yes, I'll take that. So, we are looking at a number of exciting one-off acquisitions, which are attractive to us and would fit nicely in our portfolio. They're generally newer properties, which is important to us to ensure our portfolio remains efficient and resilient to future competition. And I think pretty much all the opportunities we've looked at or are looking at are generally below replacement costs. So, they represent a great way to access newly development -- newly developed assets at good pricing. Some of them are fully leased up. Some of them are in lease-up stage. But mostly, we're looking for stabilized assets to be acquiring. And where are we looking to grow? And we're generally looking in the markets that we are in. We are focused on the West Ontario and in Quebec, we have an important pipeline of newer assets that we are acquiring at kind of a continuous and steady pace.
Tom Callaghan: Okay. Thanks. Maybe just a second one. You've obviously done some acquisitions with the properties undergoing lease-up. Just curious, I know there are some moving pieces here, but can you just provide some color in terms of how we should think about the cadence and quantum of recognition of the income guarantees that a few of those properties came with over the course of 2025?
Vlad Volodarski: I mean some of the properties that came during 2025, particularly the ones on Vancouver Island are not -- at a very low occupancy level. So, we will be utilizing more of NOI guarantees not in the early years or months of our operation. In other cases, they are -- like the properties that came from Batimo, they're almost at stabilized occupancy level. So, those NOI guarantees are shorter in duration and will be realized over a shorter period of time based on the agreements and the status of the lease-up of these properties.
Tom Callaghan: Okay. Thanks guys.
Operator: Thank you. The next question is from Himanshu Gupta with Scotiabank. Please go ahead.
Himanshu Gupta: Thank you and good morning. So, just looking at your 2025 outlook. So, 4% rent growth, let's say, 3% occupancy gains, 300 basis point margin expansion. So, what kind of same-property NOI growth will this translate to?
Vlad Volodarski: Himanshu, we don't give these specific guidelines, but I think you can kind of back into the numbers just from the amounts that we quoted. It should be -- continue to be pretty healthy given the 4% rental rate growth. Our expenses, we expect to grow between 4% and 5% on the labor side, and that's the majority of the expenses. And then we do expect to get to 95% occupancy by the end of the year. I mean, some of the -- your question will be determined by how quickly we get there. Whether we get there on December 31st or earlier, we'll determine how big expansion of the margin and NOI growth is going to be.
Himanshu Gupta: Got it. Okay, fair enough. So, maybe I mean the ingredients kind of get you to like low teens or call it, double-digit same-store same-property NOI growth. Fair to say that?
Jonathan Boulakia: Yes.
Himanshu Gupta: Okay, fantastic. And then same-property, thanks for laying out the math clearly out there. On the growth portfolio, and I know I think the Quebec got added there as well. Do you have a sense of like how margins will move or occupancy should move here?
Jeffrey Brown: Good morning Himanshu. Those the properties that are in the growth portfolio are at different stages of lease-up. Some are stabilized. Some are still in lease-up. So, it's quite a varied level of growth and margin expansion across that portfolio. So, we couldn't give you one number that really represents that the group of 31 properties that are in that portfolio bucket now.
Vlad Volodarski: And plus many of them do not have year-over-year comparisons, so it's kind of -- we didn't own them for the full year of last year. That's why they're in this growth portfolio. So, the comparison year-over-year is not very meaningful.
Himanshu Gupta: Fair enough. That's a fair point. And then maybe just the Quebec City portfolio, I think that's added to the growth now. I think that got done in November. So, what was the in-place NOI margin on this Quebec City portfolio? Because if I look at the growth portfolio NOI margin, is that the reason why sequentially, we saw like a downtick, apart from the seasonality element of it.
Vlad Volodarski: Potentially. I mean, it's a detailed question. We can get back to you on that separately. There are some assets that are in lease-up in that portfolio. And so it is running at a little lower margin. So, probably it's kind of mid to high 30s would be margins for that property, for that portfolio.
Himanshu Gupta: Okay, fair enough. Okay, thank you and I'll turn back.
Operator: Thank you. The next question is from Lorne Kalmar with Desjardins Capital Markets. Please go ahead.
Lorne Kalmar: Thank you and good morning. Going -- or taking a look at the rent growth assumption for 2025, 4%, I think, has been fairly consistent with what you guys have been able to put up in probably for the last decade or so. When do you expect to see market rent growth start to accelerate?
Vlad Volodarski: We expect, as more and more properties achieving -- so the reason that 4% is consistent with what we delivered in the past is that we have been offering, as Karen pointed out, some targeted incentives, probably the broader scale that historically over the last couple of years to drive occupancy. And these incentives are still now in the system that kind of pushed down year-over-year comparisons, particularly given the occupancy growth that we had last year. So, some of the move-ins came with discounts that continue to be in place. And so the growth is not as robust as you would expect. As we get closer to that 95% portfolio-wide occupancy, that means that more of the properties are at fully stabilized occupancy level. My expectation is that these discounts and incentives are going to be pulled back, and we will continue to generate higher market rate increases in our portfolio in 2026. As I mentioned many times before, the increases that we're passing to our existing residents, my expectation will be that they will not be as high as what we can generate on the market rates.
Lorne Kalmar: Okay. Yes. And then maybe just switching to the development side. I think last quarter, you talked about how -- it might be sooner than people think just because of how developers look several years out when they're doing the pro formas. Are there any markets that you're in that you think are maybe more susceptible to new development once the new cycle kicks off?
Vlad Volodarski: I think it's -- some of it is a function of how many people will prepare to go ahead with their developments before these dynamics played out of rising construction costs and the pandemic impact because if somebody is starting from the scratch with an empty piece of land is going to take some time, particularly in the urban markets to get through entitlement process and approvals. If people were ready to go before that then potentially they could start development faster. I think just purely because of the dynamics in the Quebec market and cost being lower there, we might see more developments starting in Quebec, we ourselves are looking at potentially doing some expansions in Quebec this year. Other than that, I can't really tell you which markets will be more susceptible to develop than others.
Lorne Kalmar: Well, fair enough. That was very helpful. Thank you very much.
Operator: Thank you. The next question is from Jonathan Kelcher with TD Cowen. Please go ahead.
Jonathan Kelcher: Thanks. Good morning. Just circling back to the 4% rate growth you're targeting for 2025. Is there much of a difference from what you're asking on new leasing versus what you're getting on renewals?
Vlad Volodarski: It is very property-specific. And so it's not really -- we can't give you a generic answer to that. Some of the properties will continue to use targeted incentives. So, they may be discounting the market rates a bit. Other properties will be driving a lot higher market rates than they're increasing the rents for the existing residents because their occupancy is high. And as I mentioned before, we try not to increase rents to the existing residents by more than what we -- our costs are going by. So, it really depends on the individual property circumstances.
Jonathan Kelcher: Okay. Well, I guess another way of asking that is like on the ones on your properties that are full, maybe have waiting list, how much of a gap would you do between new leasing versus renewals?
Vlad Volodarski: Okay, I mean in some properties, the new leasing could be high single-digits, low double-digits, market rent increases with the rent increase to the existing residents will be 4% to 5% range, maybe 5.5%.
Jonathan Kelcher: Okay. And then just switching gears on the acquisition front. You've got in and around $300 million from Batimo that is set to come on. How should we think about the cadence of that this year? And if I'm thinking purchase should we be thinking somewhere in the low 6% cap rate for those assets as a whole?
Jonathan Boulakia: Yes, you should be thinking low 6 cap rates for those assets. And we expect to take on a couple of assets in the near-term. And then I'm not sure we'll see any more in 2025.
Jonathan Kelcher: Okay. So, sort of two of the three?
Vlad Volodarski: Yes.
Jonathan Kelcher: Okay. Thanks. I'll turn it back.
Operator: Thank you. The next question is from Kristian Gravenor with CoStar News. Please go ahead.
Kristian Gravenor: Yes, thanks for taking the call. I see that you guys have 32 acres of undeveloped land across Canada. You got quite a bit in Gatineau, I see you have valuable land in Calgary and Surrey. I know you sort of addressed this prior, but could you give me sort of a timeline to possible builds there of one -- or some more advanced than others? And is it possible you might just sell off some of these properties or what the plans are?
Vlad Volodarski: The answer is, again, it depends on individual locations. As I mentioned, there is a possibility that we're going to do a couple of expansions or start a couple of expansions in Quebec on the lands that we already own. And the other ones are really a function of economics of development. So, at this point of time, it's really hard to predict the timeline of when these projects can commence. I can tell you that we're actively -- our development team is working very hard to get through entitlement process on some of the lands and being ready to begin construction when the economics are better. And in some cases, yes, we might consider selling the asset density if we either have too much to build the retirement community on it. Or if we don't think that we will be developing that particular piece of land in the next five to 10 years.
Kristian Gravenor: Fantastic. Thank you.
Operator: Thank you. The next question is from Giuliano Thornhill with National Bank Financial. Please go ahead.
Giuliano Thornhill: Hey guys, good morning. I just had a question on your full year NOI margins. So, they came in at 37% or so and around a year ago, you guided for 38% on that. I'm just wondering, is that delta mostly from your incentive use or lower with the agency costs coming in lower, like the burnout being slower than you thought?
Jeffrey Brown: Good morning. The incentive program does have some impact on the margin, and there is some seasonality. So, it is with utilities and certain other expenses that has caused Q4 to come in a bit lighter than Q3, but we still did have really significant growth of 2.5 percentage points over last year and as I shared, expecting to get up to approximately 40% for 2025 as we see continued growth in occupancy and rate driving that margin expansion.
Giuliano Thornhill: Okay. So, it's a bit of both. Is there I guess, to the development side, relative to a year or two years ago, how hard costs kind of trended? And then will the kind of the delivery of all the product in the GTA within apartments, is that going to affect the hard cost situation at all?
Jonathan Boulakia: Yes. Hard costs seem to be leveling out generally. But again, there's a lot of uncertainty that Vlad talked about earlier this morning with tariffs and other measures that might be taken. And so -- we don't know yet what impact that will have, if any, on hard costs and materials. So, there's a little bit of uncertainty on where they're heading, but last year or so, we've seen some leveling off with hard costs.
Giuliano Thornhill: Okay. Then I guess on the second part of the question, is there a lot of overlap between the contractors and seniors housing and like the apartment or condo builders?
Jonathan Boulakia: Yes, for sure, on the trade side, yes. So, the drive workers, the plumbers, they work on both kinds of projects.
Giuliano Thornhill: And then just lastly on the dispositions. I know you guys kind of quoted at the beginning. Is this going to be a significant source of proceeds over the balance of the year? Or is it just going to be more similar to last year as well?
Jonathan Boulakia: Yes, I'm not sure, it's going to be significant. We continue to evaluate the portfolio, and we're continuing to sell and reposition assets at the right time. But it's a process and it's probably a multiyear process, and I don't think we should expect significant proceeds coming in, in the near-term.
Giuliano Thornhill: Thanks.
Operator: Thank you. [Operator Instructions] The next question is from Pammi Bir with RBC Capital Markets. Please go ahead.
Pammi Bir: Thanks. Good morning. You've made some great progress on the G&A cost efficiency side, but -- and I know you mentioned inflationary type growth. But -- do you think there's further efficiencies that you might be able to achieve going forward? Or have you kind of hit a steady-state level?
Jeffrey Brown: Good morning Pammi. I think we have to hit a steady-state level and think this is the right run rate for the business and the efficiencies are more going to come and being able to add in more properties to the portfolio without growing G&A at a similar pace.
Pammi Bir: Okay. Maybe just switching to leverage. We've got -- that's come down nicely, I guess, over the past year for sure. From where you sit today, is that where you'd like to operate or you're willing to push it a little bit higher from current levels?
Jeffrey Brown: Our plan is to continue to delever the business. We believe we are targeting to get to 7.5 times, and we think that comes from continuing to grow EBITDA to support that lower-leverage level.
Pammi Bir: Okay. Last one for me. Vlad, I think you mentioned new JVs as something that either was in the works or discussions that maybe you're looking to pursue. Can you maybe just expand on that? Is there anything in any sort of more advanced stages at this point?
Vlad Volodarski: There's nothing in the more advanced stages at this point. The intent is to continue looking for diverse sources of capital so that we can have access to that growth capital in all cycles by the real estate or economy, and we are in discussions with a number of different people on a number of different opportunities, but they are not advanced enough to be more specific than just that.
Pammi Bir: Okay. So, these would be more positive as opposed to partnering up with existing owners-operators?
Vlad Volodarski: Yes. Yes. Our discussions are revolving around both growth with the kind of core type of properties that are stabilized so that we can partner with other people to acquire those portfolios or properties. And also on the development side, as we just discussed, we have quite a number of opportunities on our own lands and intensifying some of the sites where we already have retirement residences and we are looking to execute on this development program over time without putting undue stress on our own balance sheet and that's why we're looking for partners.
Pammi Bir: Got it, makes sense. I'll turn it back. Thank you.
Operator: Thank you. The next question is from Himanshu Gupta with Scotiabank. Please go ahead.
Himanshu Gupta: Thank you. Just a couple of follow-ups here. So, on financing of the announced acquisitions, the Victoria Harbour property, was that done purely on the credit facility, Jeff?
Jeffrey Brown: Yes, that was financed with the credit facility.
Himanshu Gupta: Okay. And then on the Rosemont, Montreal, do you expect like CMHC debt coming in for that acquisition?
Jeffrey Brown: So, that is one that we have been finalized, that will be eligible for CMHC, but we haven't finalized whether we will pursue that or look at other sources including the debenture market, which continues to get more attractive relative to CMHC.
Himanshu Gupta: Got it. Okay. Yes. That's a good one there. And then finally, the Edgewater still Q2 closing. I mean, any sense of timing, what you should assume in our model?
Jonathan Boulakia: I think you should continue to assume Q2.
Himanshu Gupta: Q2 is fair enough. And Jonathan, I think on the Ballycliffe, that seems to be just pushing out quarter-by-quarter. Finally, any update there?
Jonathan Boulakia: Yes, we got occupancy at Ballycliffe, and now we are preparing the building for residents to transition over from the older building to the new one.
Himanshu Gupta: And do you plan to keep it or dispose it as you were previously expecting last year?
Jonathan Boulakia: Yes. Well, as you know, we exited -- largely exited the Ontario long-term care business. So, don’t think one asset would not be core, but we are evaluating our options with respect to this property. It's not being managed by Chartwell, it's third-party managed. So, we have some flexibility.
Himanshu Gupta: Fair enough. Okay. Thank you. I'll turn back in. Thanks for taking the questions.
Operator: Thank you. There are no further questions registered at this time. So, I will turn the meeting back over to Mr. Volodarski.
Vlad Volodarski: Thank you, Alana. This wraps up today's conference call. Thanks again to everybody for joining us. As always, if you have any further questions, please do not hesitate to give us a call. Good bye.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.